Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Ingevity Third Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to turn the conference over to our host, Dan Gallagher. Please go ahead, sir. 
Daniel Gallagher: Thank you, Roxanne. Good morning, everyone. Welcome to Ingevity's Third Quarter Earnings Conference call. Earlier this morning, we posted a presentation under the Investors section of our website that we will be speaking to on today's call. If you haven't already done so, I encourage you to download the file in order to follow along. You can find it by visiting ir.ingevity.com under Presentations. 
 On Slide 2 of that deck, you'll see our disclaimer that today's earnings call may contain forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are contained in our earnings release and in our SEC filings, including our Form 10 and our most recent 10-Q. Ingevity undertakes no obligation to publicly release any revision to these projections and forward-looking statements made during the call or to update them to reflect events and circumstances occurring after the call.
 Throughout this call, we may refer to non-GAAP financial measures which are intended to supplement, not substitute for, comparable GAAP measures. Definitions of these non-GAAP financial measures and reconciliations to comparable GAAP financial measures are included in our earnings release and can be found on the Investor Relations section of our website. For purposes of this earnings call, 2016 non-GAAP financial measures are compared to the equivalent 2015 pro forma non-GAAP measures.
 Our agenda is on Slide 3. With me today are Michael Wilson, President and CEO; and John Fortson, Executive Vice President and CFO. As you can see by our agenda on Slide 3, Michael will provide some commentary on the highlights of the quarter and will review performance of our 2 segments. He will also provide commentary on the state of the pine chemicals industry. John will discuss our current financial status, and then Michael will make a few brief closing remarks. At that point, we'll open up the phone line for questions. Joining Michael and John during the Q&A portion of the call will be Ed Rose, President of Performance Chemicals; and Ed Woodcock, President of Performance Materials. 
 And with that, I'd like to turn it over to Michael. 
D. Wilson: Thanks, Dan. Good morning, everyone. Thank you for joining us this morning and for your interest in Ingevity. 
 If you turn to Slide #4, I'll walk you through some highlights of the quarter. In the third quarter, our results were strong and in line with our expectations. Despite slightly lower sales, we achieved adjusted EBITDA that was more than 5% higher than the prior year quarter. Our adjusted EBITDA of $59.6 million, up $3 million versus the prior year, translated to diluted adjusted earnings per share of $0.64. Our third quarter adjusted EBITDA margin of 23.7% was up 160 basis points from the prior year quarter margin of 22.1%. In addition to the strength and diversity of our business, the key contributor to our performance continues to be our ability to reduce costs across the company. Our company-wide cost reduction and productivity initiatives remain on track to deliver $25 million to $30 million in cost savings this year. 
 As part of our continued evaluation of our cost structure, we decided to close our Palmeira, Brazil crude tall oil or CTO refinery, which triggered a $32.2 million noncash restructuring charge in the quarter. This charge, in combination with other restructuring and separation costs, resulted in a GAAP net loss of $4.8 million in the quarter. 
 I'll discuss the rationale for the Palmeira closure later in the call, but suffice to say, excluding the adjustments, our performance in the quarter was strong. A primary driver of our third quarter results was outstanding performance in our Performance Materials segment. 
 Turning to Slide 5. You'll see that segment sales were $79.3 million, up $15.4 million or 24% versus the third quarter of 2015. Segment EBITDA of $32.3 million was up $9.9 million or 44% versus the prior year. This translated to a 40.7% adjusted EBITDA margin, which is up 560 basis points from a year ago. Performance Materials again set quarterly records for both sales and adjusted EBITDA, driven primarily by volume growth due to increasingly stringent regulations for automotive gasoline vapor emissions control. 
 To meet new regulatory requirements, automakers are increasing the content of our activated carbon products on vehicles. The volume growth we are experiencing is expected and consistent with the rollout of the 2017 model year vehicles being sold in the United States and Canada. As we indicated last quarter, we've seen a substantial increase in revenue for our products that are used to comply with the harmonized U.S. Tier 3 and California LEV III regulations. These regulations are phasing in now across the U.S. and Canada, with minimum vehicle phase-in requirement of 40% for 2017 model year vehicles. The regulations require 60% compliance of 2018 model year vehicles, 80% by 2020 and 100% by 2022. 
 Another contributing trend, albeit to a lesser degree, is the move toward larger vehicles, aided by lower gas prices. In  North America, production of light trucks, which utilize more of our materials, are up 7% through 9 months on a year-over-year basis while production of cars are down 5%. Overall, vehicle sales in the U.S. and Canada are up a mere 0.7% year-to-date. However, when you combine the increasingly stringent regulations, which drive the use of our proprietary honeycomb carbon products in greater quantity, with the ongoing trend toward larger vehicles, it enables our business to grow far in excess of vehicle demand.
 Our Performance Materials manufacturing operations ran well in the quarter. We successfully completed a significant planned maintenance outage at our Wickliffe, Kentucky facility on time and on budget. Our Covington, Virginia activated carbon facility is currently down for a scheduled outage. Also of note, as planned, we made our first shipment of qualified automotive-grade carbon from our new Zhuhai, China facility during the quarter. For the fourth quarter, we are focused on ramping up production there. The major investment we made in capacity in China is consistent with our expectation for long-term demand growth globally. 
 In China, new regulations governing gasoline vapor emissions control are continuing to advance. On October 3, China published its China 6 regulation to the World Trade Organization, which now has a 60-day comment period on the regulation. The China 6 regulation would be a national regulation calling for the use of onboard refueling vapor recovery, or ORVR, systems, similar to U.S Tier 2 regulations. This standard would require both larger quantities and more highly engineered activated carbon products than current regulations. Consistent with our expectation, the Chinese government published a schedule targeting 100% compliance by July 2020.  We continue to believe we may see increases in demand sooner if regions and cities are allowed to adopt earlier. If that happens, we are well positioned and ready to meet our customers' needs. 
 Turning to Performance Chemicals. As you can see on Slide #6, as expected, the segment continued to face headwinds in the quarter. Segment sales in the third quarter were $172.7 million, down $19.9 million or 10% versus the prior year. Segment EBITDA of $27.3 million was down $6.9 million or 20%. As we expected, these sales and EBITDA results are virtually identical to the second quarter of the year. 
 Sales into industrial specialties applications, and these include printing inks, adhesives, agricultural chemicals, lubricants and others, were down 10% versus the prior year period while sequentially even with the second quarter of the year. We continue to experience volume and price pressure, particularly in non-derivatized upstream products. At the same time, we're beginning to have some success obtaining new business in higher-value downstream applications. 
 Sales in our oilfield technologies applications were down 18% versus the prior year quarter, yet up 5% versus the second quarter and up 14% versus the first quarter of 2016. As previously discussed, this business has been negatively impacted by low oil prices and the consequent reduction in oilfield drilling and production. While there has been a gradual upswing in drilling in the U.S. and Canada over the past few months, we have not yet seen any significant upturn as a result. We are, however, continuing to have success introducing new products that meet the performance and cost requirements of our oilfield customers. We are also successfully leveraging our global footprint to geographically diversify sales for our expanding product line, specifically in the Middle East. 
 Sales in pavement technologies applications for the quarter were down 9% versus the prior year quarter and 4% sequentially versus the second quarter of 2016. This was driven primarily due to results in China that were weaker than expected. While we typically experience a significant decline in pavement technologies applications sales in China during the first year of a new Chinese 5-year economic plan, sales in China in the third quarter were even weaker than anticipated, and sales in other regions of the world were not able to fully offset the decline. Year-to-date, sales of pavement technologies products in our largest market, North America, are up 8% and sales across all regions are even with last year. 
 While in the short term these results are disappointing, we continue to believe that the long-term secular opportunity of pavement technologies applications is strong, and we expect to see continued strong adoption of our pavement preservation and warm mix asphalt technologies going forward. 
 In the quarter, Performance Chemicals benefited from lower energy and raw material costs. These benefits, along with our own cost-reduction efforts, helped to partially offset the revenue impacts to earnings. During the quarter, we had a successful outage at our DeRidder, Louisiana facility in September, and the Charleston, South Carolina facility shutdown in the first week of October was successful despite a few days impact from Hurricane Matthew. 
 With regard to our longer-term outlook for Performance Chemicals, I'd like to take a few minutes to discuss the current supply and demand dynamics of the global pine chemicals industry. As you know, a key raw material for Ingevity is crude tall oil, or CTO. Currently, there is reduced global demand for CTO for use in pine chemicals applications due to both reductions in oilfield activity and the competitiveness of substitute products in the current market environment. As a result, the market for CTO is oversupplied. 
 Operationally, a long CTO market presents us with a challenge. Contracts typically require us to take material regardless of demand, which results in inflated CTO inventories. In order to address this, we are choosing not to renew some supply agreements. 
 However, the oversupply of CTO presents us with an opportunity in terms of costs. Our cost structure for CTO is based on market pricing, not energy indexes. Consequently, we are currently working with a variety of suppliers to ensure that the supply contracts reset and new agreements reflect the market situation. While we anticipate meaningfully lower costs in the future, as we discussed last quarter, due to legacy arguments, we do not expect to see significant savings until the second half of 2017.
 Still, due to weak demand for refined products, our CTO refineries are operating at low capacity. There are 2 obvious solutions to an oversupplied markets: higher demand and/or lower supply. While we do not control the former, we can address the latter. It's for these reasons, after evaluating a variety of options, that we decided to permanently close our Palmeira, Brazil CTO refinery. In addition to an oversupplied pine chemicals market globally, conditions in South America have remained weak for an extended period, and high-value derivatives applications have not developed in the region as once expected. Consequently, we believe it's necessary to scale our operations to the market opportunity. 
 The Palmeira facility represents about 10% of Ingevity's CTO refining capacity. It is also our highest-cost refinery. We intend to cease production there by year-end. These decisions are never easy, especially when they affect employees who have maintained such a strong commitment to the company. The plant's closure is expected to reduce employment by approximately 80 people. After the closure, we fully expect to be able to supply our customer base in South America more cost effectively from our U.S. operations. And importantly, we expect to realize operational cost savings in 2017. 
 While we see weak demand conditions for pine chemicals persisting in the near term, we do expect demand conditions to gradually improve, particularly in the downstream derivatives applications where we are focused. As they do, we have ample capacity to serve our customers around the world via our low-cost U.S. refinery operations.
 At this point, I'll turn the call over to John Fortson, our Executive Vice President and Chief Financial Officer, for a more detailed review of our financial status. Following John, I'll close with a few remarks prior to Q&A. John? 
John Fortson: Thank you, Michael. Good morning, everyone. There are 3 areas I will cover. First, I will provide some additional color on our financial performance in the quarter and over the 9 months of the year to date. I will review our cash generation and capital structure. And last, I will review and provide some additional details on our revised guidance.
 As Michael mentioned, the third quarter as well as performance in the first 9 months of the year was strong and in line with our expectations. As you can see on Slide 8, revenues of $252 million in the third quarter and $705 million for the 9 months year-to-date were down 1.8% and 7% each from their prior year periods, respectively. This reflects the continued pressure on our Performance Chemicals segment being largely offset by continued growth in our Performance Materials segment. 
 Adjusted EBITDA of $59.6 million and $163.2 million for the third quarter and 9 months year-to-date, respectively, are up 5.3% for the quarter and essentially flat for the first 9 months of 2016 when compared to last year. Margins improved in both measured periods. Third quarter adjusted EBITDA margins increased 160 basis points compared to the prior year quarter and 170 basis points when compared to the first 9 months of the prior year.
 Performance Materials Q3 2016 segment adjusted EBITDA of $32.3 million represents a 40.7% margin, which is up 560 basis points from a year ago and is a 40 basis point improvement from the second quarter despite the significant outage in the third quarter. On a year-to-date basis, Performance Materials segment revenue is up 17% and adjusted EBITDA is up 32% when compared to 2015. This performance is a direct result of what Michael discussed: increased regulatory adoption, shift in mix to larger vehicles in the U.S. and efficient plant operations. Given the high proportion of fixed costs associated with this business, we are seeing substantial drop-through profitability from this growth. 
 Performance Chemicals continues to experience pressure. Sales in the segment were off 10% from the third quarter of last year and adjusted EBITDA is off 20%. Year-to-date, revenue is down 15% and adjusted EBITDA is down 24%. In light of this performance, across the company we remain focused on cost reduction and continue to be successful in delivering significant savings across our raw materials and SG&A. We are very proud of our team for what they have accomplished in this regard. SG&A for Ingevity in the quarter was flat from the prior year's third quarter, albeit on lower sales, but is down $7.6 million over the 9-month comparable period. 
 As a result of our decision to shut down our refinery operations in Brazil, we recorded a noncash pretax impairment charge to property, plant and equipment in the amount of $30.2 million and severance costs of $2 million. The severance costs are expected to be paid beginning in the fourth quarter of 2016. Refinery production is expected to cease at year-end, with decommissioning of the facility to end by mid-2017. We expect additional exit and disposal costs to be in the range of $2 million to $3 million and to be incurred and paid through the first half of 2017. 
 In total, we expect this action will result in pretax charges of approximately $34.2 million to $35.2 million, of which $4 million to $5 million is cash. To give you a sense of size, our revenue from our Brazilian operations represent about 2% of our total company revenue, and the business was losing low to mid-single digits of EBITDA per year. After we close the refinery, our profitability will improve due to the closure of our highest-cost facility and servicing the profitable revenue from our more efficient U.S. facilities.
 For the third quarter of 2016, we recorded net interest expense of $3.8 million. We reported a net income attributable loss of $7.1 million, which is a loss of $0.17 a share. However, when adjusted for separation stand-alone costs, adjusted net income attributable to Ingevity was $27.2 million and diluted adjusted earnings per share were $0.64. 
 On Slide 9, you'll find some key balance sheet and cash flow information. Since the spin, net debt has declined by $43 million to $425 million, and as of September 30, our net leverage ratio was 2.2x. Total debt was $521.8 million, including our capital lease obligation amount of $80 million related to the Wickliffe IDB. We finished the quarter with $69 million of restricted cash for the IDB and additional cash and cash equivalents of $27.1 million. As of September 30, $256 million of our $400 million revolving credit facility is available to us. Also, due to the reduction in leverage, bank debt borrowing costs will drop by 25 basis points to LIBOR plus 150 beginning this month, November.
 Trade working capital was effectively flat this quarter, consistent with the seasonality of our business and driven, in particular, by sales of pavement technology products. Inventory was down slightly from $157 million to $155 million. Underlying these numbers, the team has done a great job working down finished goods inventory in a weak demand environment, particularly for less derivatized products. However, we do hold more of these low-end materials than we would like. We also continue to build CTO inventories. We are at historically high inventory levels for CTO and expect this to be the case for some time. In light of these factors, working capital efficiency remains a priority for us in this environment. 
 Our CapEx in the third quarter was $15.1 million, and this translates to $37.3 million year-to-date. We do expect significant expenditures this quarter due to planned maintenance outages. Cash from operations in the quarter was $37.9 million, which resulted in free cash flow of $22.8 million. Year-to-date, we have generated $37.3 million of free cash flow. 
 Our GAAP tax rate year-to-date is 55%, and we anticipate finishing the year with a GAAP tax rate of around 49%. This elevated tax rate is primarily due to the unbenefited losses recorded as a result of the restructuring actions taken in Brazil. However, on an adjusted non-GAAP basis, i.e. excluding separation and restructuring costs, our year-to-date tax rate is 35%, and we anticipate finishing the year with a tax rate around 35%. From a cash tax perspective, when you look at our cash tax obligation for Ingevity's pretax income from the date of the spin to September 30, it is approximately 27%. 
 We had 42.1 million shares outstanding as of September 30. And additional information will be available on our 10-Q, which we expect to file later today.
 Turning to Slide 10. As we finish 2016, we are tightening and raising our guidance for fiscal year 2016 sales to sales of between $895 million and $905 million and tightening and raising our guidance on adjusted EBITDA to between $192 million and $197 million. As we discussed on our last earnings call, the fourth quarter is being impacted by planned outages at several of our manufacturing facilities. This is resulting in plant downtime, lower fixed cost absorption and increased maintenance spending. The pressure in industrial specialties and oilfield applications is expected to continue. 
 We also are experiencing normal seasonal impacts, including the end of the paving season, which results in significantly lower sales and profitability in the fourth quarter. We will also experience seasonal impacts in Performance Materials. However, our focus on cost reductions and our operational execution will continue to yield benefits. 
 Our tax rate is being impacted by a number of factors, but we continue to work to review our tax position globally. We now expect to finish the year with an adjusted effective tax rate of approximately 35%. Our guidance with regards to capital expenditures and free cash flow have changed. We expect capital expenditures to be $60 million to $65 million for the year and free cash flow in the $45 million to $50 million range. We anticipate finishing the year with net debt to adjusted EBITDA at the low end of our previous guidance, somewhere between 2 and 2.25x. 
 As we look forward, we continue to see growth from certain applications in our Performance Chemicals segment while ensuring we have the cost structure appropriately sized to the market environment. Additionally, we are focused on resourcing and executing to meet the rapidly growing demands of our customers in the Performance Materials segment. 
 I will now turn the call back to Michael. 
D. Wilson: Thanks, John. In summary, as we head into the home stretch of 2016, we continue to position Ingevity for growth, higher margins and improved returns. We're focused on delivering value to our customers, driving efficiencies and creating value for our company and shareholders. I continue to believe very strongly in the potential for our company. We hope you would share our enthusiasm for Ingevity. 
 At this point, operator, we'll open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Ian Zaffino with Oppenheimer. 
Ian Zaffino: A question would be on -- you talked about the sell-through of the auto business. Is that like a onetime blip that you might see in like the third quarter and then fourth quarter as the OEs stock up and build inventory? Or is this something that's going to kind of be relatively steady? And then I have a follow-up. 
D. Wilson: No, Ian, we think that the growth that we're seeing in our automotive carbon business is consistent with what we expected with the increasingly stringent regulations and the rollout of 2017 model year vehicles in the U.S. and Canada. 
Ian Zaffino: Okay, okay. That's good to know. And then, when you look at the cost savings, the cost savings, is that all going to fall on the chemicals side of it? Or is there going to be some on the materials side as well? I'm talking about the $25 million to $30 million. 
D. Wilson: It actually is both in chemicals and materials, but the vast majority is to the chemicals side. 
Ian Zaffino: Okay. So I guess if I kind of run that through the numbers, you're kind of looking at like a high teens margin on the chemicals side, even ignoring [indiscernible] revenue growth. Is that sort of the ballpark? 
D. Wilson: You're talking about high teens margins in chemicals in what period? 
Ian Zaffino: When you run through the cost savings and you achieve the cost savings, you'd look for kind of a high teens margin on the chemicals side even in the absence of any type of recovery in the end markets or recovery in growth. I just kind of want to be clear on that, I think, because that what it seems like to me. 
D. Wilson: No, because we have the -- because we're seeing the price pressure and also volume pressure in the segment, really what we're doing on the cost savings is helping to offset some of those margin impacts. So currently, the Performance Chemicals business has got EBITDA margins that are in the sort of low teens area. 
 Now we fully expect that, over time, we're going to drive those margins back to the historical 18% to 20% level. But that's going to be based on a number of factors. I mean, first of all, the cost savings are certainly going to benefit that, including the restructuring actions that we've taken. We expect that our pavement technologies applications, which are one of the most profitable segments in Performance Chemicals, are going to outpace the growth of the other segments. So we're going to see mixed improvement there. And then as demand gradually comes back, we'll get better utilization of our refineries and chemical assets, leading to better fixed cost absorption and margin improvement. 
Operator: Our next question comes from the line of Jim Sheehan, SunTrust Robinson. 
James Sheehan: So first question on the China 6 regulations. This seems like a very big deal for you guys, and it sort of gives you some clarity on the next leg of growth. How do you see the phase-in of those regulations occurring at this point? 
D. Wilson: Well, Jim, this is Michael. The way it works in China historically is a bit different than it has in the U.S. Where in the U.S. there was a phase-in period over multiple years, the way the China regulations are written, the July 2020 date for compliance is for 100% compliance. So that means that at that date, if it holds, it would be expected that all new vehicles sold in China would be compliant with the new standard. So it's not a typical so many percent per year. 
James Sheehan: Great. And also, on the turnarounds that you had third quarter and fourth quarter, could you give us a little color on what the impacts were in each quarter and what we can expect for fourth quarter on turnaround cost? 
D. Wilson: I think we said at our last call that we expected that -- relative to the first half of the year, that the outages -- outage impact at the earnings level would be $10 million to $15 million. I think we're still in that range. At this point, I think we're going to have a higher proportion of the costs hit Q4 versus Q3. 
James Sheehan: Okay, great. And then in terms of the Palmeira closure, you said you're probably going to see some savings from that. It's probably a little too early to say, but can you give us kind of a rough ballpark of what you might be thinking there? 
D. Wilson: Well, I think, as John mentioned in his prepared remarks, that operation was losing low single digit to mid-single digit millions of dollars on an annual basis. So certainly we'll eliminate those losses and then hopefully service that business profitably from our North American refineries. 
 I'll just remind you that we will have some ongoing costs associated with the closure, most of which, John, would fall in Q1. So if you look at it from an operational earnings standpoint, certainly it should be a tailwind to 2017, but there'll be some offsets in terms of those ongoing restructuring costs. 
Operator: Our next question comes from the line of Mark Weintraub, Buckingham Research. 
Mark Weintraub: First, I just wanted to get a little clarification perhaps on the way things phase in, in the U.S. I know you -- it was 20%, this is for Tier 3, in 2016, 40% in 2017, et cetera. And now, though, you are servicing for model 2017 year currently. So I guess what I'm trying to maybe get a better sense of is, if you were to estimate the percentage of the vehicles in 2017 that you are effectively selling your product to -- I'm sorry, or 2016, what percent would you say are -- have adopted the Tier 3 compliance standards? 
D. Wilson: It's an interesting question and a tough one, so I'm going to  pass that one to Ed Woodcock. 
Stuart Woodcock: Mark, based on the commercial activity that we've seen, we see it ramping up consistent with the 2017 requirement for 40%. On average, in 2016, we'd estimate it to be a 25% to 30% adoption rate. 
Mark Weintraub: Okay, great. Very helpful. And then any update perhaps on Beijing? I know you mentioned China 6, and that's for July 2020. I think there has been some conversation that Beijing would be adopting potentially as early as next year. Is that still happening? And will that be impactful if it does? 
D. Wilson: Yes, there's actually a bit of an unknown around Beijing. You recall correctly that Beijing did pass a regulation indicating that, by December of 2017, that all vehicles in the province would need to comply. However, the new China 6 regulation is a national regulation so that precludes Beijing from being able to implement a different standard unless they went through a process to put in place a more rigorous standard. But what they may have the ability to do is to adopt the China 6 standards earlier. That would apply perhaps not only to Beijing but other major metropolitan areas and provinces. 
 Anything you would add to that, Ed? 
Stuart Woodcock: No, you answered that perfectly. Some high-pollution regions might apply for this, like Shanghai, Guangzhou and obviously Beijing, with the issues that they're having. It's an opportunity that they do have, and we'll be monitoring it closely. 
Mark Weintraub: Okay. And then lastly, you've provided some guidance in terms of targets for the Performance Chemicals, 18% to 20% EBITDA margins over time. On the porous Materials you're obviously doing very well already at 40%-plus EBITDA margins this latest quarter. Are there other targets that you have out there that you're willing to share in terms of where you think those EBITDA margins can be sustained, given, as you pointed out, there is the potential for significant drop-through profitability enhancement? But at the same time I'm sure you're thinking through a lot of different factors as you shoot for different EBITDA margin targets in that business. 
D. Wilson: Well, really, we really only talk about it at the segment level for Performance Materials and Chemicals, and we've sort of been consistent in saying that over the next few years as -- not only do we expect to see the revenue opportunity in Performance Materials double over 5 to 7 years, but we expect margins to gradually accrete. And that really has to do with the adoption of more stringent technology, you have more highly engineered products, higher margin products. 
 On the Chemicals side, again, what we've committed to is that we believe we're going to get that business back to that 18% to 20% EBITDA margin level. The time frame that we've talked about is 24 months to 36 months to get there. It will obviously be influenced by how long the headwinds persist in places like industrial specialties and oilfield. But we still remain comfortable with that time frame. We've got very detailed plans on how we're going to get there. They include the reductions that we expect to see in our CTO costs, along with growth in certain segments, the cost take-outs and a variety of actions. But it is a detailed plan. 
Mark Weintraub: Okay. So that's super helpful. And I probably should have just said Performance Materials rather than porous materials. And so you're just -- so there you're just saying you're going to accrete from where you are, nothing -- no specific targets in that business that you can share? 
D. Wilson: No, we haven't given a specific EBITDA margin target. 
Operator: Our next question comes from the line of Daniel Rizzo, Jefferies. 
Daniel Rizzo: You indicated that China was weaker than expected in the quarter for pavement technologies. Is a new outlook for China in order? I mean, is it going to be a little bit slower than perhaps previously expected? 
D. Wilson: Well, certainly China in pavement technologies applications is weaker in 2016 than we expected. And it's a northern hemisphere market, just like here in the U.S. So for the most part, the paving season is done in China, just as it's done in the U.S., so we don't really see an opportunity to reverse the performance that we've seen in the balance of the year. And it's down substantially from where we thought it would be, despite the fact that we anticipated the weakness. However, I do believe that what we've seen is not a secular trend. It's simply a one-off item. And we really have to look at this business and the revenue trends in this business on a full year basis versus quarter-to-quarter just because of the seasonality. So I caution folks to overread too much into one quarter. 
Daniel Rizzo: Okay. And then is this the time of year -- or like the end of fall, beginning of winter, is that like outage season or turnaround season, I should say, for you guys? When we look at -- thinking about things for the next few years, is this a time when a lot of those events are going to occur? 
D. Wilson: Well, I think historically the second half of the year has been more heavily loaded with outages for us than the first half. And as we talked about in the prepared remarks, we had actually 3 outages in the third quarter at 2 chemical plants and one of our carbon plants. And now we have a major outage going on at our largest carbon plant in Covington. It's our hope, quite frankly, that in future years that we can stagger the outages a bit better throughout the year as opposed to having them back-end loaded. I think what happened this year was somewhat a consequence of the spin not happening until May and working with our former owner and managing cash in the first half of the year. 
Daniel Rizzo: Okay. That's helpful. And then, finally, you mentioned about seasonality in Performance Materials. And maybe I'm just not thinking about it right, but I was just wondering where the seasonality comes from in that particular segment. I mean, I understand in chemicals, but materials, maybe I'm just not following as clearly. 
D. Wilson: Yes. I mean, it's certainly not the degree of seasonality that we have in chemicals and particularly in paving technologies. But the seasonality in Performance Materials is really more around the auto companies and their outage schedules. Typically, the major OEMs will take outages around holiday periods of a week or 2. And it really depends upon demand and inventory whether or not those are 1-week to 2-week outages. 
Operator: We have a question from the line of Chris Kapsch with Keagis Capital (sic) [ Aegis Capital ]. 
Chris Kapsch: It's Chris Kapsch with Aegis Capital Corp. So I had a follow-up on the China reg, China 6. Good news there. And you mentioned 100% adoption by 2020. Just wondering your -- about the plant and your ramp over there and the capacity investment that you made. I think, as you've mentioned in the past, it's kind of sort of breakeven. Currently you're in the process of qualifying and shipping some product there. When do you see the -- or how do you see the economics of that plant playing out as we move towards adoption of the next standard? And is the plant configured to produce the product necessary for the next standard? Or would there be incremental investment required for that? 
D. Wilson: To answer the second question first, no. I mean, the plant is configured to make the products that are required for future regulatory adoption and standards. We are in the process of scaling up the plant. What we said previously was that we expected by year-end the plant would be operating at about a 30% capacity utilization rate, in part building inventory for demand that we see going forward. 
Chris Kapsch: Okay, so 30% utilization sometime in '17. And just, sorry, is that -- the production there, is it entirely for captive China demand? Or will that be used in any instances for export as well? 
D. Wilson: Primarily that product today is being produced for export markets. But the facility is there, obviously, also to serve China when the market there evolves to need the higher grade, more highly engineered products that we produce there. 
 And just going back to your last question about the 30% capacity utilization. I mean, what we said is that when we get to that level, the plant's probably running at about a breakeven level. So it was a cost drag in 2015. It was a cost drag to about the same degree in the first half of '16. And that cost drag is diminishing as we go through the second half of '16. And I would expect it to be breakeven to slightly contributing to earnings in 2017. 
Chris Kapsch: Okay. And then if -- I had some follow-ups on the Performance Chemicals side. You mentioned some CTO costs mid-'17. I think you're suggesting that was related to the contract negotiations. Just on the time line there, are you also having to work through this bloated CTO inventory that you mentioned in order to see more substantial relief on the cost side there? Is that why it's mid-'17 and not, say, early '17? 
D. Wilson: No, it's really more to do with the contractual commitments that are in place, the most significant of which is the agreement with WestRock that provides almost 50% of our demand on a full utilization basis. We've talked about previously that, that contract included some fixed pricing and pricing floors for the first year of the agreement. So those run through mid next year. There are also other legacy agreements that were multiyear in nature. But at the same time, we are already in negotiations. We are seeing some benefits. And maybe I'll just let Ed Rose talk in a little more detail about what we're doing and what we're seeing. 
Edward Rose: Yes, again, thanks, Michael. Yes, as it relates to CTO, again, a staggered set of comment -- of contracts, as you can imagine, some complex in how they work. And we do see -- we have seen benefits throughout '16, and we do see benefits starting up at the beginning of '17 but the majority of that taking place second half of '17 and beyond. 
Chris Kapsch: Okay, that's helpful. And then just on the demand commentary in PC. I think you alluded to oilfield sort of being up sequentially, certainly versus earlier in '16. So some suggestion that slightly higher oil prices here may be resulting in better activity. Can you just remind us where the demand is in terms of the applications? Is it traditional E&P activity or is it more hydraulic fracturing? And then I have one follow-up on the -- I guess the competitiveness that you're seeing from non-pine chemical-based demand as well. But just on the oilfield, is it -- or where are you seeing the sequential strength there? And is it simply because of slightly higher oil prices? 
D. Wilson: Yes, so first of all, I just wanted to characterize the overall business. I mean, we have a position both in drilling but also in production. If you looked historically, we are more focused or concentrated on drilling activity and production. Drilling activity in the U.S. obviously has been impacted more than the production side. So with the demand disruption there and the volume declines we've seen in the business today, we're more balanced between drilling and production. 
 In terms of drilling, our products are primarily used in oil-based muds. So the deeper the drilling and the more complex the drilling benefits us. We're really not involved in fracking at all. So -- but we're agnostic as to whether it's oil or gas. 
 And I think the comment is that, if you follow rig counts in North America, those have -- I think they went up for something like 17 consecutive weeks until last week they were actually down, I think. But they're up modestly, and we just have not seen a meaningful impact from higher drilling activity. But you did pick up rightfully on the sequential improvement that we've seeing from Q1 to Q2 to Q3, and that's really more about the work that we've done on the innovation side to reformulate products and take cost out of products to meet our customers' needs in a very stressed environment but also maintaining the kind of gross margins that we've seen historically for ourselves. 
 So it's about delivering efficacy at lower cost. And those products are being embraced by our customers, and that's pulling through some volume for us that you're seeing in North America. And then we're taking that same portfolio of new products as we try to increase our geographic presence into the Middle East in particular, and we're starting to get traction there as well. 
 So to summarize that, I think what we're seeing in terms of sequential benefit from the oilfield is more due to our activities and our successes than it is the overall level of activity in the marketplace. 
Chris Kapsch: That's -- that color is very helpful. And then just one area where it seems the competitive pressure to alternatives to pine-based -- pine-chemical-based is in the adhesive end market, tackifiers specifically. Can you just put some color around what sort of scenario in the energy markets would help pine-based tackifiers be more competitive with the hydrocarbon-based alternative? 
D. Wilson: Yes, I'll let Ed Rose comment on that. 
Edward Rose: Okay, yes. Thanks for the question. Again, as oil dropped, obviously it put some of the byproducts of oil, in this case some of the C5 resins, in a more competitive space where they typically haven't been. And then supply and demand dynamics really -- are really in control here, where overproduction of isoprene, one of the derivatives downstream of crude oil that then leads to C5, is really what's driving the pricing scenarios that have been talked about in the adhesive resin space with the C5 issues. The pricing of oil is probably to a lesser extent involved in that. And again, it goes back to classic supply and demand dynamics. 
D. Wilson: Yes, I would just add to that. When we look at our adhesives business specifically, it's not quite as broad-based as some others might be. And to some degree, gum resins are probably a more competitive substitute or the one that we would find ourselves competing against a little more than a C5 hydrocarbon resin. So we're a little less sensitized to the hydrocarbon. 
Operator: We have a question, then, from the line of Curt Siegmeyer with KeyBanc Capital. 
Curtis Siegmeyer: Just a couple follow-ups. Most of my questions have been answered. On the pavement business in China, is -- could you remind us how much of the pavement business is in China? 
D. Wilson: I think what we said -- if you look at 2015 results, it was probably about 10% of our total pavement technologies revenues. If you want to bracket that, it's probably 5% or less this year. So it's a significant decline. 
Curtis Siegmeyer: And is it primarily market driven? Or are there any other competitive factors at play or anything else? 
D. Wilson: It's really market driven and infrastructure spending driven by the Chinese government. The business that we have there, if you think about our business, we talk about products both for road construction but also pavement preservation. So road construction in North America, for example, is a big use of our Evotherm and Evoflex type products. And then we have the pavement preservation product line. The Chinese market is much more pavement preservation driven. So it's really around how many road miles of highways does the Chinese government want to try to put down this thin layer of asphalt over in any given year. And historically, we just found that in the first year of a 5-year economic plan, they really ratchet back the spending. Now that might be exacerbated a little bit this year just because the Chinese economy is weaker than it has been historically as well. 
Curtis Siegmeyer: Okay, that's very helpful. And then maybe just one on the general -- on the broader chemicals business. You talked about the time frame of getting back to the 18% to 20%. How should we think about 2017 in terms of EBITDA margins, sort of maybe first half versus second half? There's presumably a nice step up in the second half of the CTO benefit that you talked about. 
D. Wilson: Well, we're not really giving any specific guidance on 2017 at this point. We'll likely do that at our fourth quarter call. But as we've said, we'll see more meaningful CTO cost reductions beginning in the second half of '17. So it should be a tailwind to the second half versus the first half of next year. But we'll see other impacts gradually throughout the year as well. 
Operator: [Operator Instructions] We have a question from the line of Jim Sheehan, SunTrust Robinson. 
James Sheehan: On the mix improvement you saw in the third quarter, was any of that related to air induction systems? And if so, what kind of uplift do you expect to see from that in 2017? 
D. Wilson: Ed, you want to take that? 
Stuart Woodcock: Yes. Our air -- as we've talked last quarter, our air induction system is another area for us to generate revenue and income from on evaporative emission standards being implemented now through 2022 for the U.S. and Canada. It is a growing business for us, but as a relative percentage of our overall business -- automotive business, it's relatively small but growing. So we do see increased revenue, but overall significance is relatively low, being more weighted towards what's happening for the canister than what's happening on the air induction side. 
Operator: At this time, there are no other questions in queue. 
D. Wilson: Okay. Well, I'd like to thank everyone for your time and interest this morning. We remain very positive about the long-term outlook for our business. And we look forward to talking to you again next quarter. Take care, and go Cubs. 
Operator: And ladies and gentlemen, the replay information is available in the news release. This does conclude our conference for today. Thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.